Richard Oldfield: Good morning, everyone. I know it's a super busy morning for you. So I really appreciate you taking the time. And I'm sorry if you've sat waiting for it to join us. Now it's really hard to follow any video, but following that is quite hard because it's a short excerpt from our new Active Edge Campaign. You're going to progressively see this over the next 6 months. As you know, at Schroders, we're unashamedly active, and that's the basis of this campaign. We're now in a world where changing economic and geopolitical events are creating perpetual uncertainty and some people are understandably worried. But within all that lies great opportunity for Schroders and our clients. I believe we're at a turning point with a focus returning to active management. Diversification isn't only back in favor, but it's a real requirement. Portfolio concentration is being challenged in a way we haven't seen for some time. Our 2025 Global Investor Insight survey underscores this. More than half of the respondents want more resilience in their portfolios, and 8% of global investors expect to increase the allocation to active management and further diversify over the next year. In this context, our active stance is a clear competitive advantage. So that reflects on the half. I'm pleased with what we've got done. There is good early signs of momentum. We're ahead of where I'd hoped we would be when Meagen and I spoke to you back in March, and we're presenting some really solid results. Against the backdrop of uncertainty, we have remained focused on what we can control, delivery of our 3-year transformation program. It's been an incredibly busy and challenging few months. We've made some difficult choices about where we invest our time and resources. We're focusing on the areas where we can see real competitive edge. We're focused on rightsizing our business but with a keen eye on making sure that we'll be more efficient and effective in meeting our clients' needs. So in summary, we've been undaunted by taking difficult decisions and we've been moving at pace. But before I get into the strategy progress, Meagen, why don't you actually take us through the results?
Meagen Lyn Burnett: Yes. Thanks, Richard. You will have all seen our results this morning, so I'll just pick up on a few key points. When I spoke to you in March, I said that although our AUM had grown in 2024, our operating profit had fallen. We said that this was not good enough. And I'm pleased to say that for the first half, while our AUM has been stable, our operating profit was up, which I hope gives you a sense of our strong focus on profitability. In terms of our results, our adjusted operating profit was up 7% to GBP 316 million. That was because of good revenue growth, cost discipline and a strong progress on our transformation. Our net operating revenue increased 2%, driven by good growth in Schroders Capital and Wealth, both up 9%. And our public markets was resilient. We contained the increase in our adjusted OpEx to just 1% with our transformation program, delivering reduction in costs of GBP 21 million in the first half of the year. This is net of reinvestment. For the full year, we now expect our in-year benefit to the P&L of GBP 50 million compared to the GBP 40 million annualized savings we communicated in March. We achieved an adjusted cost-to-income ratio of 74%, which is down from 75% at the end of last year. Profit before tax was down 29%, reflecting both the costs of our transformation and portfolio restructuring charges, which are noncash items. These actions have simplified our business and allow us to focus our resources on our core strengths. I'll take you through the underlying drivers of our financial performance after Richard spent some time on how we're progressing on our strategy.
Richard Oldfield: Great. Thanks, Meagen. So I thought it was worth reminding us of the 3 financial targets we set out in March because that's our income. In public markets, our focus is on stabilizing revenues. In Schroders capital, the GBP 20 billion of cumulative net new business. And in Wealth Management, we'll continue to generate net new business of 5% to 7% of AUM. We'll also achieve GBP 150 million of annualized net cost savings by the end of 2027, while continuing to invest in the business. As a result, we expect our adjusted cost-to-income ratio to fall from 75% last year to below 70% for 2027, subject of course to normal market conditions. Taken together, these actions put us on a clear path to returning Schroders to profitable growth while creating a more focused and resilient business for the future. Over the last few months, we've achieved a great deal. Firstly, on our cost savings target. As Meagen just pointed out, we've reduced our operating expenses by GBP 21 million on a net basis so far and reinvested about GBP 8 million back into our talent. Now it's easy to say that quickly. We're achieving this involves fundamental changes to how we run our business. We're focused on operating model efficiencies and leveraging our operating partnerships, which Meagen will cover a little bit more in a second. But the consequence is that almost 7% of roles have been made redundant in the past 3 months. This exercise has been precise so that we don't damage our core business with only a handful of redundant roles affecting our investors. We're committed to remaining the home for exceptional investors. So our focus here is on promoting internal talent from an extraordinary bench to ensure that we're developing careers, supplemented by selective external hires, and we've already hired more than 25 people into our investment team so far this year. This is how we secure continued outperformance for our clients in the future. We've always had strong employee retention and that continues. Our current voluntary turnover rate remains at less than 4%. In delivering these cost savings, we've incurred transformation costs that we told you about at GBP 45 million, that's in line with the guidance we gave. On cost, we told you in March, we expected to exit 2025 with GBP 40 million of annualized cost savings. And I'm repeating this, I think it's really important, Meagen, that we land this because now we're expecting to achieve net in-year cost savings close to GBP 50 million during 2025. We also told you in March that we are going to simplify the business and focus on where we can scale and have an edge. So we started. And as a result, we've closed our alternative risk premium capability. We sold Schroders RF, a private credit business in Australia. We've closed our real estate business in Munich, and we've written off our investment in a U.S.- based credit originator. We've also restructured our Chinese wholly owned fund management company and our South Korean business by transferring the retail business to a local distributor. This allows us to focus on what we're really good at. In China, allocating more capital deliberately across the individual business that we have, and in South Korea, focusing exclusively on private markets. The consequence of this portfolio restructuring is that we've taken a charge of GBP 56 million. While it's impacted our profits, I really want to stress that these restructuring charges relate to balance sheet items, they're noncash, and they've got very limited impact on capital. I want us to be relentlessly focused on clients. I hope I'm landing that message. That's why we simplified the structure of our client group and enhance the effectiveness of our global sales effort. We have set up dedicated teams for sales activation and delivery, and we've reshaped our marketing function. We've also made strides to simplify our product range, and we're working to close or merge 14.5% of that fund range with minimal impact on revenues. We're in the process of working through that rationalization exercise, so there's more to come. And by the way, even though we've driven a busy agenda, that is not correct at the expense of client focus. Client engagement is actually up 20% year-on-year, and that makes me feel pretty confident as we head into the second half. We're also investing in our talent and hiring people into key strategic growth areas. We're continuing to build out dedicated specialty sales team for Schroders Capital. We've got 6 new hires onboarded in the last few months, and we expect to have the full 40 strong team by the end of the year, helping us to accelerate our growth in private markets. We've also made changes to build strength and capacity in our leadership team. Our new CEO of Wealth Management, Oliver Gregson joined us from JPMorgan a little under 2 months ago. He's already brought tremendous energy and has a real ambition for what our wealth management business can achieve in its next phase of growth. We have another key hire starting on Monday in Matt Oomen, who will lead our client group. His significant experience leading global sales teams is going to bring fresh ideas and have momentum to the actions we took in the last few months. And I'm delighted that Karine Szenberg is changing roles to assume responsibility for strategic partnerships including our ventures with BoCom and Axis. And this role underscores just how vital partnerships have become to the group's strategy. There's real momentum across the business, which is positioning us strongly for future growth. But let me turn now to new business and what we've written in the first half. So I'm really pleased to see the momentum that we're building alongside some strong client successes. We generated gross sales of GBP 68 billion in the first 6 months, which is up 8% year-on-year. So going through this slide left to right, public markets had a tougher Q1 but rebounded in Q2. This was driven by the GBP 4 billion SJP mandate we told you about previously, and a GBP 3.3 billion sustainability mandate from a European pension scheme. So I'm going to take a little detail here in a moment to talk about our global equities capability, which delivered GBP 6.9 billion of net new business for us. Our global equity strategies remain top quartile of 1, 3 and 5 years. Our focus on active management, the dedication to high-quality research and our desire to be the home to exceptional investment teams has enabled the Schroders Global Equity retail fund to outperform its benchmark by nearly 200 basis points per annum since 2014, 200 basis points per annum since 2014. And just as a reminder, that's net of fees. Our recent global equities marketing campaign has resulted in a doubling of sales meetings compared to last year, and this showcases what we can really do when we focus our efforts. The 9 leading market capabilities in public markets we spoke to you about have collectively delivered positive net flows in the first half. Schroders Capital generated a net new business of GBP 2.3 billion so far this year and that's GBP 6 billion of fundraising, up 17%. Our fundraising reinforces where we think we have a competitive edge. We've closed a GBP 2 billion junior infrastructure debt funds, the fourth vintage of this successful series confirming Schroders Capital's ability to originate differentiated transactions. Our focus in the second half is to take this offering into the wealth market. And we also completed the first GBP 500 million close of the U.K. Innovation LTAF, the first investment structure of its kind for U.K. venture capital. It joins a growing suite of LTAFs offered by Schroders Capital and the joint venture future growth capital designed to enable U.K. pension scheme investors to support the Mansion House Accord and taking advantage of the robust returns and diversification benefits Schroders Capital provides. As previously indicated to you, our net new business target in private markets is weighted towards the outer years of our financial forecast. So we're on target. Turning to wealth. You can see that flows accelerated in the second quarter when we hit our 5% net new business target. The slower growth in Q1 reflected the usual impact of tax payments on client portfolios. Then on JVs, we've seen a bit of a rebound in Q2, driven by our BoCom venture, which recorded inflows of GBP 1.6 billion, mainly as the demand for money market funds surged. In total, we generated positive net flows of GBP 6.4 billion in Q2. So we're off to a good start, but there's a lot more for us to do. We remain absolutely focused on execution. We're ready to launch our European active ETFs, and we're going to continue to invest in those parts of our business where we can drive growth. For 2026, one thing to highlight is that although we're setting out in more detail our strategy for Wealth Management. And finally, of course, our investment performance. As you can see, we continue to deliver strong long-term results for our clients. Our 3-year number rebounded since the end of 2024 and now stands at 65%. While the 1-year figure has dipped largely due to moves in the dollar on mandates with a sterling-biased benchmark, our longer-term track record remains robust with 76% outperforming over 5 years. The medium and longer-term outperformance is a testament to the strength and consistency of our investment teams and approach. So everyone now really want all the detail on the numbers, Meagen. So back to you.
Meagen Lyn Burnett: Thanks, Richard. In March, I said there were 3 things that we were focused on to deliver our strategic growth objective: one, cost savings to embed operating leverage as we grow profitably. Two, discipline in the allocation of our resources to ensure that we drive shareholder value through transformation; and three, injecting leadership, energy and focus to inspire the cultural change that we need to allow us to deliver at pace and retain our top talent. Over the past 4 months, we've mobilized an extraordinary group-wide focused effort on these 3 objectives. We've had to make some very tough decisions. And I recognize that we are only at the start of our 3-year transformation journey, and there's a lot of hard work to do. But I'm pleased to say that as I talk you through the detail of the results today, you will see some of these benefits starting to come through in our numbers. So starting with our average AUM, which is a key driver of our revenues. Overall, our average AUM, excluding our associates and JVs increased by 3% year-on-year to GBP 662 billion. The growth was constrained by our currency movements. Without that impact, average AUM would have been GBP 14 billion higher on a constant currency basis. Around 2/3 of our AUM and therefore, our revenue is non-sterling. So FX volatility, which is outside of our control, can materially change the performance of this business from 1 period to the next. Moving on to the movements in our net operating income between the half year '24 and the half year to date. A combination of market mix and investment performance added GBP 42 million to our revenue. And I've already mentioned the impact of our FX on our results. A headwind from the prior year net outflows reduced the revenue by GBP 5 million. However, given that the first half of '25 has had positive flows, excluding our JVs, that should reduce the impact in the second half. Performance fees and carry were up GBP 6 million. This is largely driven due to the higher carried interest income from our private equity business. As ever, performance fees and carry are very hard to predict in any one period. So my best guide is that '25 will be in line with '24. The returns to our JVs and associates increased by GBP 5 million. This was mainly due to the profitability of SPW following their focused restructuring on their business, which resulted in net revenue efficiencies but also lower third-party costs. This has been partially offset by the weaker performance of our BoCom FMC venture. So overall, as a result of these movements, our adjusted net operating income was up 3%. I'll now take you through the segmental reporting starting with asset management. In public markets, we showed resilient performance overall. Our revenue reduced by 2% because of the FX headwinds that I mentioned earlier and as well as a mix effect. Overall, as Richard and I mentioned, I'm pleased to see our 9 leading capabilities were in net inflow. In equities, our net flows returned to positive territory, reflecting significant wins in the first half. Pleasingly, 2 of the largest inflows we've had are a direct result of our sustainability credentials. The table on the right presents our net operating revenue margins. As we told you at the year-end, we have included exit margins on this table to give you a clear view of where we're ending the period. As you can see, the equity margin remained resilient. There's a slight softening to an exit rate of 44 basis points. This is due largely to the large institutional mandates and the mix from our clients' appetite, which continues to be a move to global equity products, which are typically at a lower margin. In fixed income, our revenues were up 11% and average net operating margin improved to 33 basis points. This is principally due to outflows from our lower-margin U.S. fixed income products and the demand from our clients of our higher-margin Euro credit products. In multi-assets, revenues reduced by 8%, principally driven by net outflows. The net operating revenue margin remained stable at 24 basis points. And in core solutions, our revenues increased 5%. This is due to the positive flows we generated over the past 12 months. The margin decreased to 6 basis points for the first half again, largely driven due to the mix effect of our net new business. Moving on to Schroders Capital. This business continues to demonstrate good growth with revenues up 9% year-on-year, driven by a higher average AUM as well as an increased carried interest, which I mentioned earlier. As you can see in the table on the left, fundraising was GBP 6 billion, that's an annualized rate of 17% on our opening AUM with good contributions across all 4 asset class pillars. After taking into account deployment, fund maturities and outflows, the funding converted to net new business of GBP 2.3 billion. And as of the 30th of June, our non-fee earning dry powder remained broadly flat at GBP 4 billion. The table on the right shows our net operating revenue margin at 56 basis points, flat on the first half of the year, but 1 basis point lower than our 2024 exit. Next, Wealth Management. Wealth Management performed well and the net operating revenue was up 9%. Revenue in Cazenove Capital and other wealth increased by 8%, reflecting the continued strong performance in the first half. As shown in the table on the right, the net operating revenue margin was 47 basis points -- it reduced to 47 basis points, sorry, principally driven by lower transaction fees. Benchmark, revenues were up 18% as the business continues to grow its adviser footprint and make selective acquisitions. The net operating revenue margin was 21 basis points, up 1 basis point from the prior year. So that covers revenue. And now let me talk you through expenses. We limited the increase in our operating expenses to 1%. The benefit of our transformation actions, along with FX movements, helped us offset the impact of inflation. And as you can see from the bridge, we delivered net savings of GBP 21 million, and those have already dropped to the bottom line in H1. And importantly, that is after taking into account GBP 8 million that we've reinvested into our talent and into hiring. For the full year, I anticipate us being able to deliver net in-year P&L benefit of around GBP 50 million. We remain committed to our target of GBP 150 million annualized net savings to be delivered by the end of 2027. Continuing along the bridge. Our currency movements resulted in a benefit to our expenses of GBP 6 million. We had GBP 5 million additional compensation payaways as a result of the GBP 9 million additional carried interest we earned and we had GBP 4 million increase in costs linked to our higher average AUM. And finally, the impact of inflation was GBP 30 million, in line with our expectations of around 3% of our total cost base. So overall, good progress on costs, which has led to our adjusted cost-to-income ratio improving to 74%, in line with our full year guidance, and we expect to remain at that level for the full year, assuming stable markets. Now let's talk about our transformation program in a bit more detail. From a personal perspective, I'm really encouraged by the outcomes we have achieved. We've had to make difficult decisions affecting our people, our portfolio and our resource prioritization. But we moved that pace to ensure the right size our cost base as we progress. I would place our transformation delivery into 3 categories: firstly, operating model efficiencies. Whilst our transformation activity is a group-wide, the structured change is particularly evident across our group technology, operations and client group, specifically our marketing functions. These changes are designed to optimize our internal operating model to drive efficiency, prioritize our client experience and reduce duplication. Secondly, operating partnerships. In March, I spoke about leveraging our buying power and working more closely with our key operating partners. In the second quarter, we announced that we will be moving our technology and global operations activities to a strategic third-party UST, who we've worked with for the past 14 years. This will enable us to leverage UST scale, their technology innovation and their global location strategy. And in turn, it will increase our operating leverage over our business. This transition will happen in phases running through to the end of 2026. Thirdly, portfolio restructuring. Identifying and executing on opportunities to simplify our global portfolio of businesses has been an important step that we focused on our strengths. Richard provided you with the specific examples that we've elected to sell, exit and reshape our business where we've lacked scale or competitive advantage. As we move into 2026, the focus will be on those actions to drive long-term value and growth. We will continue to enhance the efficiency of our operating model, drive cost discipline and accelerate our AI capabilities. We're confident that we can continue to deliver against our strategic ambitions. But as I mentioned, we've only just started. Both Richard and I, together with the executive team know that there is a lot of hard work ahead. But what energizes me is the knowledge that the work we're doing will drive better outcomes for our clients, our shareholders and our people going forward. Now moving on to capital. Our capital surplus increased to GBP 896 million at the end of the first half. We set out a very clear framework for capital allocation in March. That framework remains unchanged. And as you know, there are a number of items that will draw on our capital resources over the next few years. As we deliver our transformation program, we expect net cash generation to be lower due to the associated costs incurred. However, it is crucial that we continue to allocate our capital to areas where we see the greatest opportunity for the future. In 2025, so far, we've approved an additional GBP 70 million for co-investment and seed into Schroders Capital. We've also approved an additional GBP 200 million to seed funding the launches in our public markets of some of our innovative product strategies. We continue to invest in acquisitions in adviser networks and benchmark and to assess selective inorganic opportunities within Wealth more broadly. From a regulatory perspective, we have Basel 3.1 coming into effect on the first of January 2027. We're reviewing the leads reforms and continue to work closely with the PRA to understand the potential impact this will have. Finally, let me take you through the rest of our financials. Adjusted operating profit was up 7%, resulted in adjusted operating earnings per share for the first half of 14.8p, up 8%. Profit before tax, however, was down 29%. That reflects the transformation costs of GBP 45 million, in line with our expectations and portfolio restructuring charges of GBP 56 million. As Richard said, these are restructuring charges on noncash and have limited impact on our capital. Overall, in light of these results and in line with our dividend policy, we've maintained an interim dividend of 6.5p per share. So before I hand back to Richard to conclude, I just wanted to leave you with my 3 key takeaways for the first half of the year. Firstly, we are progressing well against our cost targets. We've upgraded our expectations for the full year to around GBP 50 million in year net savings. Importantly, these are not just a cost-out story, we are also investing for growth. Secondly, good sales momentum. The first half of the year we saw GBP 68 billion of gross inflows, our highest gross inflows in 3 years. And finally, focus on profitable growth. We have taken decisive action to simplify our portfolio of businesses so that we can continue to channel our resources and our capital into the opportunities where we will drive future profitable growth. Richard, back to you.
Richard Oldfield: Thanks. Great summary. As we look to the remainder of the year, I remain pretty confident in our strategy in the delivery of our transformation program, which, as you can see, is already gaining great momentum. The progress we're seeing, in particular, the encouraging growth flows in the first half and the quality of our current pipeline reinforces my confidence that we're heading in the right direction. It is, of course, impossible to ignore the turbulence in world events and the continuing uncertainty in market conditions. That said, we are focused on what we can control through disciplined execution and a clear eye on our objectives, we're determined to return this business to profitable growth as we have done in the first half. We are firmly committed to maintaining our position as a leading international active manager as a top U.K. wealth franchise. I genuinely believe there is significant opportunity on the horizon and both strategically and operationally, we're well positioned to capture it. Above all, our focus is delivering for our clients. We do this by leaning into what we do best, active management, providing guidance and clarity for our clients during these uncertain time. So one thing to mention before we get to Q&A. We're planning to hold a Capital Markets event for Schroders Capital in the fourth quarter. We're really keen that you hear from the team to showcase our unique capabilities and how we compete in the private market space. Of course, we're going to provide more details in due course, but I really hope you're able to join us. Now let's turn it over to you. We've got Katie from IR, which many of you will know with us here in the studio. So she is manning the microphone -- moderating, but please raise your hand. And over to you, Katie.
Katie Wagstaff: Thanks, Richard. So our first question is from Isobel Hettrick. Isobel, if you could please come off mute, to restate your name and your company for the record. And if you could clarify who your question is directed to.
Isobel Hettrick: It's Isobel Hettrick from Autonomous Research. I have 2 questions, please. I guess, both for Richard. So first, you've had a couple of ESG mandate wins in the first half. And we are seeing some of your peers talk up the opportunity to increasingly win mandates given the pullback in the ESG from some of your U.S. peers. So if you could just provide some color about how you think Schroders is set up to compete in this area? And any color on future pipelines would be appreciated. And then my second question is on the LTAF business and the JV with Phoenix. So could you give us some color please on how you expect this business to evolve over time and the increasing contribution it could make to Schroders Capital's net new business?
Richard Oldfield: Thanks, Isobel, and thanks for joining us this morning. So on the ESG mandate, yes, we were very pleased both at SJP mandate and the pension fund mandate that we talked about were our sustainability credentials were central to that. We are undaunted in our support for ESG. And importantly, ESG is built into what we do, actually, as every investor has information on their desktops to enable them to think about ESG items and how that may not be factored into market prices as they do research and make investment decisions. So actually showing our capabilities, showing the depth of data that our analysts have and our teams have is central to winning those mandates. Of course, we offer products which are specifically badged as ESG products but actually it's built into what we do. It's part of active management. So it's why we exist as active managers. So I would concur with those who would say that actually we have an opportunity. And I think we're really well positioned in that opportunity because of the investment that we made in sustainability over a prolonged period of time as well. This isn't something you can switch on if it comes back into vogue, it requires an awful lot of dedication and investment. On the LTAF, it's a great question. The joint venture with Phoenix, Future Growth Capital, when we set it up, the aim was to have flow coming from Phoenix, as you know, and we are expecting several billion to arrive into Schroders Capital over the next couple of years from Phoenix. But we're also starting to see really good momentum and pipeline for clients more broadly. The one thing I'd note is the only product in the marketplace, the only U.K. only LTAF, there lots of owners in that. But is offered by FGC and that's what people who want to take advantage of the Mansion House Accord are going to have to use. So we've got the right product in markets at the right time. So we hope we get to see some increasing flows from third parties and not just Phoenix in the coming years.
Katie Wagstaff: Our next question is from Angeliki. Angeliki, if you could please come off me, restate your name and company and who your question is directed to.
Angeliki Bairaktari: It's Angeliki Bairaktari from JPMorgan. So a couple of questions from me as well for Richard. In terms of the Wealth Business, we saw that the wealth flows have been slower in the first half relative to last year as a percentage of AUM, but also in absolute terms. And I was wondering if you have been at all impacted by the changes in the non-dom regime. And also what are you currently seeing in terms of client reaction ahead of the autumn budget, especially given all of the discussion around sort of higher taxes, et cetera. And then second question on Wealth. We saw earlier this year the announcement of the acquisition of CCLA by Jupiter. And I was just wondering whether that increases competition for you at all within the charity space, given that this has been a key growth area of the Wealth Business in the past? And perhaps 1 last question with regards to LTAFs. We heard in the lead reforms that LTAFs will now be included in stock and share ISAs from April 2026. What will be the impact for you?
Richard Oldfield: Thanks, Angeliki. I really appreciate you joining us. So let's go to them in order. So I think you're going to look at quarter-on-quarter in wealth and what really happened. So what we saw is a lower flow rate in the first quarter of Cazenove in particular, as we saw the impact of tax payments that occurred in January. So we had a slower start to the year than we had expected as a result of those tax payments. And pleasingly coming into the second quarter, we saw the fundraising rate get back into the 5% to 7% target of AUM that we've set for you. We feel pretty good about the pipeline in wealth today. So as we look forward, we think we'll be okay. Now secondly, you asked about the non-dom regime, whether that had an impact. Of course, we've seen some clients as everyone has leave the U.K., but very fortunately we've not -- the money has not moved with them. So it hasn't really had a significant impact on Cazenove. When we look at the autumn statements and what might be coming up. Look, of course, I think there are people who are concerned about what may be in that statement. And there's definitely people talking about how that may impact their portfolios. But we've not really seen any significant change in behaviors or people pre-empting those changes at the moment. On CCLA and too many Cs on that, Angeliki, sorry. Obviously, what we're doing in Cazenove is position ourselves for the larger charities. We have an astonishing, as you know, a success rate in winning RFPs in charities. I think the CCLA whilst clearly, it does appeal to some large charities has an offering that goes right away through the size spectrum and therefore, in parts of the market where we are less focused. So we're not anticipating a huge impact on Cazenove because of Jupiter's acquisition. On LTAFs into ISAs, you would have seen we're really supportive of that because I think the important thing is investors should be able to put a tax free wrapper around any investment that they make, particularly if it's into the U.K., we're all -- we're very supportive of the government's efforts to drive more and more investments into both public and private markets here in the U.K. So we're expecting -- I think we're already expecting to be listed on one platform very shortly. And we're expecting to see some flow from certain aspects of our client basis. It's obviously a product that's not suitable for everybody, but it's definitely suitable for those -- for some people, and we're delighted that it can now go into those wrappers.
Katie Wagstaff: Our next question is from Arnaud. Arnaud if you could please come off mute, restate your name and your company and clarify who your question is directed to. Thank you.
Arnaud Maurice Andre Giblat: Arnaud Giblat from BNP Paribas. I've got 3 questions, please. If we could come back again to LTAF and widen the question maybe to ELTIFs. I'm just wondering how you're thinking about market sizing and whether or not you've got the right products to address the opportunity, particularly, I'm thinking about hybrid products, public-private. My second question is on private markets generally. Could you talk about the pipeline you've got ahead? What launches should we be thinking about, particularly larger fund launches? And my third and final question is on Wealth. Clearly, the aging of financial advisers continues. I think we're at 58 years old. I'm just wondering how you're thinking there about adding capacity to a market that is needing in terms of -- that has a certain need for financial advisers.
Richard Oldfield: So let's start with the -- I think the question we broke up a little bit, Arnaud was around the LTAFs and market sizing. And of course, in addition to the LTAFs, the ELTIFs that we've actually also launched in Europe. So it's not just a U.K. question, it's much broader than that. Particularly when we think in the U.K. about pension reforms, by definition, that's opening up an enormous market for LTAFs as well as, obviously, as I talked about for it within wealth, for a population of wealth, they will fit nicely into portfolios and into ISAs. But have we got the right product? The LTAFs haven't been around that long, right? And we're really pleased we had the first LTAF, the third LTAF. We've now effectively got the LTAFs offered through future growth capital, specifically targeting the U.K. market. So I'm not going to give you exact numbers, but we're really quite hopeful that with the offering that we've got across the spectrum of asset classes that we're really well placed in that marketplace. On hybrid products, we're really focused on actually how we remain at the forefront of innovation. And I'm definitely talking to both Georg and Johanna about how we think particularly in debt around the right sort of hybrid products. So hopefully, more to come on that as we go into the second half and beyond. Private markets, the future pipeline, what we really want to see grow, particularly in the second half is our private debt capability. For us, this is really about taking the existing products that we've got and scaling them as opposed to launching a particularly new product, but we also continue to see new fundraising as we look at Greencoat and the repositioning of the Greencoat business to give products at a higher return rate. So more to come of what we've got rather than launching anything new. And I think that ties back, Arnaud, into the point we've been making of. Let's get really good at the things that we know we're good at and scale those rather than launching new things. And thirdly, on Wealth. My wife always tells me age is a concept as opposed to a problem. So look, we're very blessed here to have a Wealth Business that covers all aspects of advice and the wealth spectrum, the Cazenove. We've got a great team of financial advisers, and I hope not many of them are rushing off to retire anytime soon. But when we look at SPW, we've been working really hard to replenish and actually have the very best advisers we can find in that business, and we're not seeing any difficulty recruiting new people. With training and education as an important part and making sure we've got the right adviser base. And of course, we continue to see adviser numbers grow across benchmark. We're now over 1,000 advisers on the benchmark platform. So we're not really seeing an immediate problem from the seasoning of the adviser capabilities.
Katie Wagstaff: Our next question is from Nicholas at Citi. Nick, you can please come off unmute. Restate your name and company and who your question is directed to.
Nicholas Herman: It's Nicholas Herman from Citi. I had 1 follow-up on that last question, and then I have a few questions myself. The quick follow-up on the private debt. You referenced gaining private debt. My impression here just for Richard, my question is that you were not well developed in your private debt capabilities. So I guess that's scaling. Would that include partnerships potentially maybe even some of your shareholders? And then the 3 questions that I had then 2 for Richard and 1 for Meagen, so the first 2 for Richard. On your targets, I know your revenue targets and especially that your public markets are based on a certain set of assumptions, namely that the shift to credit and to global strategies will continue. I think it's fair to say that those strategies, those assumptions felt reasonable when you were formulating your plan last year. But I guess, with what's happened this year, does that change your view of the world at all, maybe not so much to shift from equity to credit, but maybe more relatively slower shift away from local towards global. The second question for Richard on the impact of your transformation on clients. I think you said that client engagement is up about 20% of this year, and you've seen, I think, it was GBP 68 billion of gross inflows. I mean that -- which is obviously very strong despite all that change. So it doesn't seem that we have seen any hesitancy from consultants and clients of yours as a result of all these changes on the investment platform. Is that a fair conclusion? And then the final question for Meagen, given that you are ahead of your transformation plan, and as you embed a culture of greater cost discipline, I appreciate you have reiterated the GBP 150 million cost saving target. But would you say that you are now in commenting more optimistic or potentially exceeding that GBP 150 million as it stands given that you are ahead of target?
Richard Oldfield: Nick, thanks for those questions, and thanks for asking Meagen a question. It gives me a bit of a break. So I appreciate it. So let's take private debt because again, I'm going to take us back a little bit to March. What we said was that we were well developed in bits of private debt, and that's what we're going to focus on. So particularly asset-backed securitized debt, we have a great team covering that, ILS cat bonds. So we're doing certain things, and you're right, we don't have a capability that, for example, looks at direct lending. So where our growth is focused in our plans is on the things that we know we're good at. Now your broader question, though, is our partnerships important to our business going forward as we think about filling in capability gaps. And of course, they are. One of the reasons that we have asked Karine to step up into that role is to help us be front-footed and deliberate in seeking our partners to help us be that across distribution, be that across product development. So we look not just in private debt, but across the business at whether or not we can grow through different forms of collaboration. So on the targets, has our view changed on the assumptions? Not yet. So I know there's an awful lot of talk about movement in appetite in flows, and we can definitely see when we look at retail flows, some movement. Just think about the institutional buying cycle, it takes quite a long time from flash to bang. We go through an RFP process, then it takes a while to fund. So we've seen an increase in RFPs, but we actually haven't seen funds moving. So I think for the moment, whilst there are early signs of retail flows, they're generally a little bit hotter those flows anyway. We haven't seen a broader movement. So we're sticking with the assumptions that we've got. But don't worry, it will be the first person will tell when we change them. And the client engagement and what that really means from a consultant perspective. So whenever you go through change in a business, consultants, rightly, by the way, it's their job, come and ask us lots of questions about changes and what the impact will be on the business. And there have been, as we move through the last 6 months some changes in recommendations. But what's really astonishing about Schroders. And I probably didn't understand this, Nick, when I joined was that we're not a hall-of-fame organization. This isn't about stars, it's about teams, and we've invested tremendously in this huge bench of capability of more than 1,000 investors. Most of them sat in this building, actually. And they're awesome. And so when we see movement in teams, when we see changes in the environment, the one thing we do, we've got a great bunch of people keeping strategies going, making sure they're consistent with what they say on the tin. And that's why I think we managed to retain the recommendations and keep the business solid and keep those flows coming in through the year. So the only thing I really want to land with you is that capability, that bench is really a protective defense for this business and a great asset for us.
Meagen Lyn Burnett: Thanks for asking me a question, Nicholas. So on our transformation, I mean, I've mentioned it a few times, we're only 3 months in from when we went to market with our target. We've done exceptionally well relative to that target. But we're not restating it. We are aiming to hit that cost-to-income ratio exit of 70% at the end of 2027. Our target is still a net target, and we remain at that number of GBP 150 million.
Katie Wagstaff: We have 2 more questions on the line. So coming to Hubert, first. Hubert if you could please come off mute to restate your name and company and clarify who your question is directed to.
Hubert Lam: It's Hubert Lam from Bank of America. I'm sorry I joined the presentation late. So hopefully, you haven't addressed these issues already. I guess questions could be for either of you. Firstly, on the flows. Can you talk about the pipeline that you see? Obviously, you had some good wins recently. Any mandates you'd like to point out? I think previously, you mentioned like a possible pipeline in Q3 and quant equities and core solutions. Just wanted to confirm that this is still the case. Secondly, associates and profits in Wealth Management was stronger than expected due to SPW. How should we think about this going forward? It seems like a pretty big step change in the half. Any one-offs there? Or is this kind of the run rate to think about going forward? And lastly, I just wanted to think about your thoughts on the opportunity in Wealth Management and targeted support. Just wondering what you think about that based on what the FCA has said.
Richard Oldfield: Thanks, Hubert. Thanks for joining us. We didn't cover any of those. I know we've been double parked, so I appreciate you joining. So on the flows, where I really don't want to get into too much is actually telling you what's in the pipeline because it moves around quite a lot in terms of when it funds. But I can tell you, we sit here today feeling pretty good about what's one not funded and actually what we can see in terms of possible sales over the second half. The only one that we've announced coming up in the second half is a win that we've had with Scottish Friendly. So that's out in the marketplace, and we expect that to fund hopefully during Q3. On the associates, actually, this is a really good story of actually the benefits coming through the things that we've done in the past. So we talked, I think, at these presentations in '23 and '24 about the restructuring efforts that we've undertaken in SPW, the changing advisers, changing the investment proposition. And what you've actually seen in the first half is all of those benefits actually flowing through to that business. So you shouldn't really see that as a one-off. So on targeted support, I think, first of all, the perimeter for targeted support is relatively limited, but we think it's a huge option -- opportunity for the industry. First of all, actually moving people away from feeling they're forced to take advice, but actually to seeking advice and people's propensity to buy and pay is always higher when they actually opt into something and not forced to take it. But actually, in really focusing businesses on where they add most value to clients. So I know we will be pursuing guidance and not just advise, I think they can sit nicely alongside each other, but it's a huge opportunity for the industry. And I think over time, Hubert, the real question is, how far the perimeter goes on where we can provide targeted guidance.
Katie Wagstaff: We actually have a couple of more questions. So Bruce coming to you first, please come off mute, restate your name and company and who your question is directed to.
Bruce Allan Hamilton: It's Bruce Hamilton from Morgan Stanley. I've got 2 for Richard and 1 for Meagen. So the first one, just on the sort of end client appetite for Europe. Obviously, there's been a fair bit of debate around sort of potential for shifts amongst Asia, Australia, other clients to look more to Europe and a bit less to the U.S. But has that faded or is that still real. So I'd be interested in color from sort of client conversations there. Secondly, on sort of pension reform. Obviously, you've talked a little bit about sort of LTAF opportunities in the U.K., but looking a bit more broadly also at Europe as well as the U.K., what are you sort of advocating for? What do you think is most important? Is it around sort of auto enrollment? What tax incentivization of ISA equivalents in Europe. What are the things that you think make the biggest difference and that we might get movement on? And then final question, it's a slightly straightforward one for you, Meagen, but congratulations on the delivery. On the GBP 50 million run -- so GBP 50 million savings in the year, was the previous target GBP 40 million in the run rate. So actually, it's quite a lot better just to confirm.
Richard Oldfield: Thanks for questions, Bruce. Good to hear from you. So on the credit appetite -- sorry, the client appetite for Europe and has it faded. I think the picture is a little bit more complicated than people trying to gloss over it. As I said, what you can see is definitely retail funds moving and then move more quickly in response to headlines. So you have seen that. We haven't seen that shift so much in institutional clients yet, but we've got a larger number of RFPs coming in. I think for me, if I take a stand back, by the way, been our team running European equities and a phenomenal job, by the way, from a performance perspective, but the flows are still uncertain. We've actually seen inflows into our large cap U.S. products as well. So we can see the picture is very, very mixed, depending on where you are in the world, what the appetite looks like. Asia, definitely, we can see some orientation out of the U.S. focus into a more global focus, including Europe. So not just to Europe. So I think we can see in clients a broader global orientation. You do have some wanting to take advantage of the rebound in the U.S. markets. But it's kind of interesting, isn't it, Bruce? I'm going back to my point on diversification and the need for resilience. Almost all of the increase in the S&P since Liberation Day has been back with the [ MAG7 ]. So the concentration that we saw coming into the year, and we saw reduced a little bit towards the end of March has come back full force as we get into the second half of the half. So I think it really reinforces my point as clients look at resilience and that's what they start to talk about when we did the survey, they're going to want to see some more rebalancing to try and mitigate the concentration we've got. On pension reform, look, I think it's really -- it's different in different parts of Europe. So in the U.K., we signed up the Mansion House pledge, that's a really important thing that we've done. We encourage the people to do that because that's moving us away from seeing costs as the primary driver of where people put investment savings into actually what's the balance of value for money and the right return profile. So I think that's a really important step and what we're advocating for is more and more employers to sign up to that pledge to make sure that we're giving the right return profile, frankly, to their employees and pensioners. Because at the end of the day, giving those people more money is what it's all about. I think tax incentivization is a really important point, certainly when we get into Europe. I think there's a broader debate to have on tax incentivization here in the U.K. Across ISAs and pensions, we give a GBP 70 billion tax rebates to people. Now that's more than the welfare tax bill, and it's more than the defense costs for the U.K. And yet we see most of that invested overseas. So I think there's a really interesting angle for the treasury to debate how tax incentives can sometimes increase saving but create perverse outcomes for economies. But in Europe, we definitely want to see better tax incentives in some countries and actually allowing pension schemes. We're seeing this in France, in particular, where we want to see more access to private markets into pension schemes and how do they open that access. So they're the sorts of things that we're advocating for. And Meagen?
Meagen Lyn Burnett: Thanks, Bruce. Yes, and thank you for the focus on what we're delivering. It absolutely is GBP 50 million out of our bottom line P&L this year. That's what our focus is on. We did guide in March to saying GBP 40 million of annualized run rate savings, but this is GBP 50 million out of the bottom line within the year. The key thing, Bruce, is that we focused on our cost-to-income ratio, and we guided to 74% for this year and getting down to 70% by the end of '27.
Katie Wagstaff: Our next question is from Mike Werner. If you could come off mute, restate your name and company and who your question is directed to. Thank you.
Michael Joseph Werner: Mike Werner here from UBS. Two questions, please. And again, apologies if I missed some at the beginning, so I hope I'm not covering something you already did. But first, I think this is for Meagen. We saw a really good cost cutting. You guys are looking more positive there. Where should we expect the cost cuts as we go through the second half of this year? Do you expect it more on the comp side? Do you expect it on the noncomp side, whether it's operational or whether it's headcount? And then for Richard, I think, the question I have is on the Wealth Management business. I think there was some discussion about potentially expanding that business geographically. When you hosted your Strategy Day a couple of months ago, it's been 3 or 4 months since then. And I was just wondering if there's been any update on your thinking? And any details would be helpful.
Meagen Lyn Burnett: Thanks, Mike. So if we look at the second half of the year, as we've guided, we get to GBP 50 million. The cost savings there are really associated with the announcements we've made earlier this year of moving some of our technology and operations through to UST. So those start to flow through our operating model towards the second half of the year. And importantly, we really are focused on cost-to-income ratio rather than comp and non-comp for that exact reason. In some instances, we're moving comp to noncomp as we move to external providers.
Richard Oldfield: It's really giving us a flexibility, isn't it, Meagen, to run the business in a better way. Mike, thanks. Good to hear from you. Yes, our thinking has evolved. As I said, Oliver has been literally in the building for less than 2 months. So what we're going to do is let him get his thinking together, which he will be doing over the autumn. And so we'll back to you at some point after that with an update on what we're planning to do in Wealth more broadly, not just geographically.
Katie Wagstaff: We have 1 more question from Michael Sanderson. Mike, if you come off mute to restate your name and company, and who your question is directed to.
Michael William Sanderson: Michael Sanderson, Barclays here. Just a couple of ones, please. First of all, the portfolio restructuring and the charge you took there, I'd be interested to know how far you are sort of through your view of what -- how much portfolio restructuring you require. I mean obviously, you go hard early on and then assess from there. So interested to know stability for people once you've made decisions around this and how much more there is to come there? Second one, I guess, more Meagen, once again on the cost piece. The GBP 8 million of investment versus the GBP 21 million of save, interesting dynamic, I suppose, if I'm thinking out your GBP 150 million of cost save, how you characterize sort of ratios of your reinvestment versus save. And so what your actual gross cost save might have been, as you set out the plan, color on those would be both interesting.
Richard Oldfield: Thanks, Mike. So on portfolio restructuring, look, I think take us back to what we said. We're going to do what we need to do to focus the business, put our resources both time, efforts and financial resources in the places where we can really drive growth. So these were things that we took action on in the second quarter. We're going to continue looking at the business, right? So that isn't to say we've got a list of targets that we're going through. But we're going to be disciplined in thinking about the business over the next months and into '26 to make sure that we've got the portfolio we can really drive forward and give you the EPS growth. I know everyone on this call wants to see. Meagen on the cost?
Meagen Lyn Burnett: Thanks, Mike. As I mentioned earlier on in the slides, we delivered a gross cost savings through transformation of GBP 29 million for the first half of the year. So that GBP 21 million is a net number. Obviously, we see the GBP 8 million rolling forward as we've invested in staff, as we mentioned, specifically in areas of growth. So in Schroders Capital areas and in retention of top talent and investments. So in terms of our ratios, we focused on the total cost-to-income ratio and getting to the 70% by the end of '27.
Katie Wagstaff: That's it for questions on the line.
Richard Oldfield: Look, I just want to say enormous thanks for everybody for joining us as I'm very conscious we were double parked this morning, and I appreciate the time. And maybe final thing from both of us, we are certainly going on holiday towards the end of August for well- earned break. I hope you all manage to check out and get a break, and we'll see you back in the saddle in September. Thanks a lot guys.